Operator: Hello and welcome to the Paysafe Fourth Quarter and Full Year 2021 Earnings Call and Webcast.  As a reminder, this conference is being recorded. It’s now my pleasure to turn the call over to Kirsten Nielsen, Head of Investor Relations. Please go ahead.
Kirsten Nielsen: Thank you and good morning. Welcome to Paysafe’s fourth quarter 2021 earnings conference call. With me today are Philip McHugh, Chief Executive Officer and Izzy Dawood, Chief Financial Officer. Before we begin, a friendly reminder that this call will contain forward-looking statements and should be considered in conjunction with cautionary statements contained in our earnings release and the company’s most recent periodic SEC reports. These statements reflect management’s current beliefs, assumptions and expectations and are subject to factors that could cause actual results to differ materially from those forward-looking statements. You should not place undue reliance on these statements. Forward-looking statements during this call speak only as of the date of this call and we undertake no obligation to update them. Today’s presentation also contains information that will constitute non-GAAP financial measures under SEC rules. You can find additional information about these non-GAAP measures and reconciliations to the most directly comparable GAAP financial measures in today’s press release and in the appendix of this presentation, which are available in the Investor Relations section of our website. With that, I will turn the call over to Philip.
Philip McHugh: Thanks, Kirsten and thanks everyone for joining. I will begin with an update on the business and then turn the call over to Izzy to review the financial results and guidance. Starting with a few key messages, our fourth quarter revenue of $372 million and adjusted EBITDA of $105.5 million both exceeded the high-end of our revised guidance range for the quarter. The turnaround of our digital wallet business is well underway with the team taking decisive action to improve the core wallet, reduce costs and deliver on our growth opportunities. I will share more on this in a moment, but we are seeing good signs of early progress. Across our broader digital commerce strategy, we are winning exciting deals to start a new partnership with Binance, initially launching a newly developed white label wallet solution. In iGaming, we launched in new states, including New York and announced new partnerships, including Hard Rock and Bally’s. Overall, our digital commerce pipeline continues to grow and reflect merchants plugging into Paysafe to access full end-to-end solutions across card processing, digital wallets, eCash and real-time banking. So more and more, we are selling our solutions as a single, competitive offering. In our U.S. acquiring business, we continue to see solid growth in the U.S. SMB market and our direct marketing vertical is recovering in line with our expectations. On our cost savings program, we delivered $40 million in savings in 2021, ahead of our initial target of $30 million and had plans for incremental savings in 2022. Lastly, on our third quarter earnings call, we provided a preliminary outlook for 2022 based on the headwinds we are seeing in Europe, coupled with our expectations for a reset of our digital wallet business. Based on our progress to-date and current expectations, we are confident in maintaining that outlook. Turning to digital wallets on Slide 4, on our last earnings call, we unpacked the market headwinds and challenges in digital wallets and the actions we are taking to reposition the business for long-term success. First, we said the core wallet needs to be more competitive in terms of customer user experience, in terms of pricing in mature markets. Second, the digital wallet business had become too complex over time and we needed to refocus on our core product features and right-size the division. Finally, we talked about mid-term initiatives to strengthen our relationships with our top merchants and to deliver on the bigger growth opportunities in front of us. Our team acted quickly making tough decisions and the results are starting to show. Starting with the short-term initiatives, our actions to optimize pricing and improve user experience are delivering some positive early data points, particularly in regions where we have implemented changes. Across 19 targeted countries in Europe, we saw monthly bank deposits increased more than 50% and total deposits increased more than 10% by implementing the changes from October to February. Additionally, we completed a rightsizing of the organization in Q4 improving our cost position and focusing the organization on our core products. Turning to the mid-term priorities, two main things to highlight here. First, in North America, our Skrill digital wallet continues to progress with strong proof points, including volumes tripling from Q3 to Q4 and now we are ready to drive increased awareness with the launch of a marketing campaign with Barstool Sports, one of the biggest U.S. sports betting focused and social content producers in the world. Second, we continue to expand our crypto presence, where in addition to our new partners with Binance, we have a strong pipeline of other crypto platforms as our unique combination of card processing, open banking, wallet pay and payout capabilities continue to generate excitement with new and existing clients. To summarize, we are making strong progress in the turnaround of digital wallets. We are winning very competitive deals and remain very excited about the business. Our expectations for 2022 as a transitional year remain largely the same. With the actions we are taking now, enabling us to absorb market risks in Europe, we will continue to keep you posted and updated on our progress. Now turning to Slide 5, I will now take a moment to highlight our differentiated offering and why we win in digital commerce. First is ease of connectivity through a single API. Basically, we are easy to plug into. Second is more ways to pay in addition to traditional card processing. We have a scaled global gateway. We provide powerful pay-in and pay-out capabilities through our digital wallets. We digitize cash and we offer real-time bank payment rails, along with 100 plus ATMs. Third, we have very deep risk and regulatory management capabilities, along with deep bank relationships, which help us to service specialized and demanding verticals. Lastly, we are focused on specific industries, including iGaming, crypto, digital goods, financial services and travel. This combination of our single API, multiple payment types, risk management and industry focus is a combination we are really focused on in terms of driving growth going forward. So let’s bring this to life on the next slide. We have been very active in crypto and now we’re starting to work with crypto exchanges in a more holistic way. More importantly, we see the combination of crypto NFTs in the fast emerging Web 3.0 as a major trend unleashing a new generation of digital entrepreneurs as well as creating new ways for people to buy and sell in a virtual environment. Paysafe is uniquely positioned to support the full end-to-end product needs, demanding growth requirements and complex risk and regulatory challenges in this space. We are excited to partner with Binance, the largest crypto exchange in the world, to help their business grow in the right way, leveraging the depth and breadth of our payment offering. We are starting off with an embedded finance solution in Europe and the UK, where Binance is leveraging our wallet platform effectively as a white-label wallet, allowing pay-in and pay-out capabilities with their own app, real-time banking and the ability to plug into other payment types. This will be phased rollout on a country-by-country basis. We are taking a steady approach, but we are excited about the long-term potential and expansion of services, which should develop into a large relationship over time. Additionally, we are seeing strong interest from other cryptocurrency exchanges as well as large eCommerce organizations. So, we really like the emerging pipeline. Again, it’s a great example of what our teams can do when we bring our products together as a single solution. Turning to another key vertical, Paysafe North America iGaming. In 2021, we saw strong growth in North America, including 58% volume growth year-on-year, driven by expansion in new states and continued growth in existing states. We are now live in 21 out of 22 legal jurisdictions across the U.S. that allow some form of iGaming, including all 7 states that enacted legislations during 2021. In 2022, we are off to a strong start, having launched in New York with four operators: Caesars, DraftKings, PointsBet and WinBet. We also went live in Oregon with DraftKings and in Louisiana with multiple operators. In addition to expanding our relationship with existing clients, we announced new customer wins, strengthening our position as the leader in North America iGaming payments. Last week, we announced a multi-state partnership with Bally’s, starting off in Arizona and New Jersey, with plans to expand into more states over time. We also announced a new partnership with Hard Rock Digital to support its iGaming and sports betting brands with payment solutions in New Jersey, which is a really nice competitive takeaway. We are excited about the breadth of Paysafe solutions that we can offer Hard Rock both in existing and future markets. Turning to Canada, Ontario will launch its long-awaited iGaming market for private operators on April 4. With a population of 15 million, Ontario will be the fifth largest North American jurisdiction. We look forward to launching in Ontario where we have signed multiple deals with Tier 1 operators, building on 10 years of market leadership with the provincial lotteries, delivering the full stack of processing and local ATMs with market leading acceptance rates. Lastly, as I mentioned earlier, we continue to advance our Skrill Wallet revamp in the U.S. and are very happy with early results. Although the initial baseline remains small, volumes are growing very fast. We are seeing repeat VIP users. We now represent a material share of the cashier with some of our pilot customers. As a next step in our expansion, we have signed an exciting deal with Barstool Sports to promote the Skrill brand in the U.S. utilizing a variety of Barstool’s most popular media assets. We are excited to be a unique payments partner with Barstool and see great synergies between their incredible customer base and the Skrill value proposition to make sports betting fun and engaging. Now, turning to U.S. acquiring on Slide 8, we continue to see solid growth in the U.S. SMB market, including 20% year-on-year revenue growth in the fourth quarter and 15% growth compared to 2019. Paysafe is a scaled U.S. small and medium business player serving approximately 200,000 merchants with a strong mix of card-present and card-not-present solutions. We focused on a single platform for onboarding with multiple processing options enabled by multiple sales channels, including direct internal sales, ISO partnerships and ISV integrations. The team has done a great job executing against our plan, focus on automation and self-service capabilities, cost management and very strong customer service. Lastly, our direct marketing vertical is recovering in line with our expectations and we continue to be uniquely positioned to service this market with a strong capability set. Now, turning to Slide 9, we have delivered very well against our cost program, taking out more than $40 million of repeatable costs in 2021 and we are targeting an additional $20 million in 2022. We made a lot of progress last year consolidating our tech platforms, migrating to cloud, upgrading our bank relationships and further improving our risk management capabilities. We will continue to benefit from these upgrades in 2022, while also delivering on new cost opportunities. On our recent acquisitions, we are well on track with integrations. As an example, in the fourth quarter, we completed our product integration with PagoEfectivo and are currently live in Latin America with about 20 of Paysafe’s global clients. So, the team is executing at a fast pace there. SafetyPay closed at the end of January, which is about a month later than we planned for, but our product integration plans are well underway, including our global real-time banking initiative. Overall, we remain enthusiastic about the interest we are seeing from both existing and prospective clients, particularly across iGaming and crypto. With that, I will turn the call over to Izzy.
Izzy Dawood: Thank you, Philip. Before we dive into our financial performance, let’s briefly review our segment realignment on Slide 10. As Philip mentioned, our dialogue with impactful clients in iGaming and emerging verticals such as crypto require us to provide a full set of payment options to support the global growth ambitions. The conversations have transitioned from specific product solutions through end-to-end payment solutions, from local solutions to capabilities that are available in multiple markets in multiple countries. Additionally, with increased regulations, having a single and at times, global partner has become more critical to allow our customers to grow efficiently and react to market changes. Thus, it makes sense to realign our segments to better reflect the evolving landscape. The Digital Commerce segment, which combines our digital wallet, eCash and Integrated eCommerce businesses, is 100% online, global and focused on the core verticals that we serve. Additionally, in this segment, we are presenting holistic pricing solutions and becoming more agnostic with respect to which product generates the revenue as long as we enable our customers to grow and thus we grow with them. The U.S. acquiring segment is predominantly focused on our U.S. based card-present customers in the SMB space. Approximately, 35% of the transactions are eCommerce. In terms of performance, in 2021, Digital Commerce had volumes of $44 billion, revenues of $837 million or 56% of our total revenue and adjusted EBITDA margins of 42%. Growth in eCash and Integrated eCommerce solutions offset the decline in our digital wallets business. In 2021, U.S. acquiring had volumes of $78 billion, revenues of $650 million or 44% of our total revenue, and adjusted EBITDA margins of 26%. As we go through the business results in the next slide, I will focus on our prior segment structure for consistency with the prior quarters of 2021. You can also find historical quarterly results for the new structure in the appendix as well. Moving to Slide 11 for a summary of our performance versus our guidance. Revenue came in higher than our guidance range primarily due to stronger digital wallets and eCash performance, which benefited gross profit relative to our expectations. Adjusted EBITDA was also higher than our guidance range, because of gross profit outperformance as well as reduction in our credit reserve in Q4. Turning to Page 12 for a summary of the Q4 results, volume was $31.5 billion, an increase of 20% year-over-year, as strong growth in integrated processing more than offset the decline in digital wallet. Total revenue for the fourth quarter was $372 million, flat compared to Q4 2020 as growth from U.S. acquiring, Integrated eCommerce and the acquisitions was offset by declines in eCash, digital wallet and the direct marketing vertical. Adjusted EBITDA for the quarter was $105.5 million, up 11% versus the prior year, resulting in an adjusted EBITDA margin of 28.4% and 260 basis points higher than last year. This was primarily driven by lower credit and SG&A expenses. Lastly, free cash flow was $53 million or 50% conversion on an adjusted EBITDA basis. In Q4, the free cash flow conversion was lower due to payment of cash taxes and increase in accounts receivable. Quarterly free cash flow conversion can fluctuate meaningfully. For example, our Q1 free cash flow conversion was over 95% and it is best evaluated on a trailing 12-month basis. Now, turning to Page 13 for a summary of the full year 2021 results. Volumes were $122.4 billion, up 22% with growth in Integrated Processing and eCash more than offsetting a decline in digital wallets. Total revenue for the year was $1.49 billion, up 4% versus 2020 and up 6% if you exclude the Pay Later divestiture. Adjusted EBITDA for the year was $444 million, up 4% versus prior year and up 5%, excluding Pay Later. Adjusted EBITDA margin was approximately 30% and flat compared to last year. Growth in adjusted EBITDA was primarily driven by strong eCash performance and Integrated Processing performance and strong cost discipline. Lastly, free cash flow was $286 million or 65% conversion on an adjusted EBITDA basis. Free cash flow conversion was slightly below our expected range of 70% to 80%. For 2022, we expect our free cash flow conversion to be between 50% to 70% on a trailing 12 months basis primarily driven by the expectation of higher cash tax payments and higher working capital needs as our acquiring business continues to exhibit strong growth. On Slide 14, I will quickly touch on a few additional line items, including our GAAP results. Interest expense was $21.5 million and 48% lower driven by lower overall debt levels and lower spreads from our refinancing earlier in the year. For Q4, our net income was $90.3 million, including a gain on the remeasurement of warrant liability compared to a net loss of $3.4 million last year. Our tax rate for the quarter was 24.8% and 43.6% for the full year, which is higher than our effective tax rate of 31.8% last year, primarily as a result of non-taxable gains on the warrants. Ignoring discrete items and gains and losses and warrants, we estimate our effective tax rate will range between 23% to 26%. Also, our interest expense has increased to roughly $25 million per quarter this year as a result of the December closing of our debt raise to fund the acquisition of SafetyPay. Moving to Slide 15 now for a discussion of the business results, starting with eCash, volumes were at $1.6 billion, up 9% in Q4 compared to last year and $5.8 billion for the full year, up 26%. eCash revenue for the fourth quarter was $99.2 million, a decrease of 6% compared to prior year, which is a particularly tough comparable. Q4 results also reflect regulatory impacts in Germany and the Netherlands, which is partly offset by the inorganic contribution from the acquisitions. For the full year, revenue was $406 million, up 22% or approximately 18%, excluding the two acquisitions that closed in 2021. Adjusted EBITDA for the fourth quarter was $37.6 million, an increase of 8%, resulting in adjusted EBITDA margin of approximately 38%. For the full year, adjusted EBITDA was $165 million, an increase of 42%, with an adjusted EBITDA margin of 40.6%. Overall, a strong year for eCash business that benefited from strong adoption of the product partly supported by extended COVID-19 lockdowns in Europe and we are seeing a moderation of that as expected. Moving to digital wallets on Slide 16, volumes were $3.9 billion and down 19% year-over-year and $17.2 billion for the full year, down 16%. Revenue in the Digital Wallet segment for the fourth quarter was $87.9 million, a decrease of 9% compared to the prior year. The revenue decline, which was expected, was driven primarily by regulatory changes in Europe. Revenue for the full year was $363.8 million and down 8%. Take rates remained above 2%, reflecting the mix of activity within the wallets customer base. Adjusted EBITDA was $42.4 million in the fourth quarter and up 16%, which benefited from lower credit losses relative to the prior year. For the full year, adjusted EBITDA was $167 million and down 7% for the year. As Philip discussed earlier, the turnaround of our digital wallets business is underway. And over the last few months, we are seeing progress and net deposits into customer accounts remained positive. In Q4, we also saw softer volume in financial markets trading. Moving to Slide 17, Integrated Processing volume increased 30% year-on-year to $26.1 billion, led by the U.S. market and up 37% compared to Q4 2019. For the full year, volumes are $100 billion, up 32% year-on-year, reflecting increased volumes across most of our industry verticals and up 36% versus 2019. Revenue for the fourth quarter was $190.3 million, an increase of 9% compared to the prior year. For the full year, revenue was $745 million, up 4%. Excluding the Pay Later business, revenue increased 6% to 7% as growth from our U.S. acquiring and eCommerce merchants was offset by lower revenue from our direct marketing channel. Take rate was 70 basis points in Q4, as expected, lower than Q4 2020, primarily due to mix within our Integrated Processing business. Adjusted EBITDA increased 8% to $51.8 million, and adjusted EBITDA margin was 27.2%, comparable to the prior year. For the full year, adjusted EBITDA was $187 million and down 8%, primarily due to the decline in our direct marketing business. Moving to Slide 18, I will review the components of our consolidated take rate, which continued to be driven by business mix and have been consistent over time within our business segments. eCash continues to generate a take rate over 7%, excluding the impact of the acquisitions, which have a lower take rate than the organic eCash business. Digital wallets had steadily increased its take rate as we expand into new verticals and expected to hold steady in the near-term. As our embedded finance relationships expand, we expect our take rate to decline towards more historical levels as the year progresses. Finally, the take rate in our Integrated Processing segment has decreased over the last few quarters from 1% to 70 basis points, driven primarily by business mix. In 2022, we expect the take rate to increase back to 80 basis points as the direct marketing channel recovers. And as you can see from the pie charts at the bottom of the page, the meaningful growth or share of Integrated Processing volume is driving the overall take rate for the company lower. Now let’s turn to Slide 19 to look at our balance sheet and liquidity. Cash and cash equivalents were $702 million at year-end, which is higher than normal as we had not closed on the SafetyPay transaction by year-end, but we had received the cash. Total debt outstanding was $2.7 billion as of December 31, net debt was $2 billion and our net debt to last 12 months adjusted EBITDA ratio was 4.6x at the end of 2021. Adjusting for the SafetyPay acquisition, which closed on January 31, and our pro forma net leverage would have been 5.5x if we had closed the transaction on December 31. Our primary use of excess cash, looking forward, is to pay down our debt and start moving towards our target of 3.5x adjusted EBITDA. Now let’s move to Slide 20 to discuss our guidance. Since our last call in November, we have had a delay in the closing of SafetyPay; unfavorable movement in the euro, USD exchange rate; and the economic uncertainty driven by the war in Ukraine. However, we remain confident in our maintaining our full year outlook. For the full year, on a reported basis, we expect revenues between $1.53 billion and $1.58 billion. U.S. acquiring revenue is expected to grow high single digits to low double digits with 300 basis points EBITDA margin improvement. Digital commerce revenue is expected to be flat to up low single digits, and EBITDA margins are expected to decline approximately 400 basis points. For the total company, adjusted EBITDA is expected to be between $440 million and $460 million. For Q1, we expect revenue in the range of $355 million to $365 million and adjusted EBITDA in the range of $95 million to $100 million, in line with the preliminary view we provided on the third quarter earnings call despite the delay in closing of SafetyPay and the adverse movement in exchange rates. We expect mid-single-digit growth in U.S. acquiring, offset by high single-digit decline in digital commerce, driven by year-over-year adverse FX movements and the impact of gambling regulations in Europe, as expected. We also expect growth and margin to improve in the second half of the year as we start to lap the impact of some of the regulatory changes in Europe and see the turnaround in digital wallets. With that, I’ll turn the call back to Philip for closing remarks.
Philip McHugh: Thanks, Izzy. Before we wrap up and take your questions, I’ll take a moment to address this morning’s Board announcement. As you saw in our press release, Bill Foley has decided to step down from the Board to focus on other commitments. I’d like to thank Bill for the leadership and vision he has brought to Paysafe throughout his time as our Chairman as well as his belief in Paysafe, including the recent reinvestments with . It’s been a privilege working with Bill. I look forward to staying in touch with him as one of Paysafe’s major shareholders. As part of this announcement, we welcome Dan Henson as Paysafe’s new Chairman. Dan currently serves on the Board of Alight alongside Bill, and he brings decades of relevant expertise across capital markets, financial services and technology. I’ve had the opportunity to spend a lot of time with Dan over the last few weeks, and I’m really excited about what he can bring to Paysafe. To quickly summarize, we’re really pleased with our Q4 results and our progress on the turnaround in digital wallet. The actions we’ve taken are driving positive early results. We positioned the business for success and in allowing us to absorb market risks in Europe. As we continue to improve those fundamentals and return to growth, we also continue to win and pursue exciting deals in high-growth verticals with some of the most disruptive and emerging companies in the world. We remain extremely focused on executing on both fronts, positioning Paysafe for strong growth in the future. And just to end, I’d like to personally say that the last several months have been challenging for Paysafe. I’d like to truly thank the team for their energy, their hard work, their customer focus and really their will to win. We see what we’re capable of. We’re excited about the direction we’re going, and that’s the energy we have at the company. With that said, I’ll start and turn it over for the Q&A session. Thanks a lot.
Operator: Thank you.  Our first question today is coming from Dan Perlin from RBC Capital Markets. Your line is now live.
Dan Perlin: Thanks. Good morning and good to see things started turning back around here. I wanted to revisit the – if you could just talk about the cash flow conversion dynamics. Again, I know you mentioned it on the fourth quarter numbers. I’m just trying to make sure I understand the specific drivers as to why you’ll be able to drive that improvement in FY ‘22 in as much detail as you willing to share? Thanks.
Izzy Dawood: Yes, sure. Thanks for the question. For full year ‘22, let me rephrase by saying reframe for 2021 as a whole, our free cash flow conversion is roughly 65%. And in 2022, we expect about the same. The fluctuations you see more is around the quarterly month end in terms of our receivables or in terms of when cash taxes do get paid. But overall, year-on-year, we expect that cash flow conversion to stay flat. I think the other nuance that I raised is that it’s lower than what we said, between 70% to 80%, so around 65%. Again, it’s driven by the growth in our U.S. acquiring business, which we’re pretty happy about. And just in terms of generating more income in jurisdictions that, we don’t have offsets again, so our cash taxes are going up. But overall, still a pretty strong cash flow conversion rate for the company.
Dan Perlin: Got it. Okay. And then, Phil, can you talk a little bit about the – maybe some of the competitive dynamics that you’ve seen? I mean you did a lot of changes during the quarter. I’m specifically thinking here maybe some of the success that you’ve had in iGaming. I know a lot of other companies that we cover are trying to push into that environment as well. So I’m just wondering maybe what you’re seeing specifically in that area. And then if you could maybe also speak to some of the specific things around the Skrill revamp. I mean it sounds like volumes, albeit smaller, are really accelerating here. So I just want to make sure I understand directionally how that’s being positioned in the states. Thank you.
Philip McHugh: Sure. Sure, Dan. It’s good to hear from you. So look, the questions surround mainly kind of our actions in North America iGaming. So definitely a very competitive space. But as we said, look, we are live in 21 states. All seven states that went live in 2021, we were there on day 1, right? So the first thing is being fast, being ready, being ahead of the curve. The second piece is we are offering one of the most holistic capabilities. Again, it’s a single plug-in you get a full set of APIs. It’s not only card processing with good acceptance rates you can get kind of instant bank payments, you can get multiple APMs, and we will be expanding that as well. So that really all the major form types and wallets that a consumer wants to use can be used with our gateway. And you can’t underestimate also the market expansion. Canada is growing very rapidly. We have the highest acceptance rates there. We’re a full end-to-end gateway in processor. And it’s the same integration. So what we’re seeing is that the product is the broadest set, that’s good. Our relationships are incredibly deep. As we said last year, we brought on Zak Cutler. He’s incredibly well-known person in the industry. He’s a former operator, so he knows what’s needed. And that does change our relationship. It changes what we’re solving for. But we’re even seeing some players, some operators that had direct acquiring integrations actually coming back to us because with our gateway, we can give them Canada and United States. We’re live in markets on day 1. We can plug in multiple APMs from interacting Canada to emerging wallets in the United States. So, all of this comes together, Dan. It makes us very competitive. The second piece, obviously, is we can bring things like eCash and like our Skrill Wallet that can create differentiated opportunities. We talked about – that was an important factor in our win with Hard Rock. It’s an important factor with our win with Bally’s. And with the Skrill product in particular, we’ve been talking about it for a while that we revamped the product. We said we are very, very focused on the VIP customer, which we felt was a serious gap in the market. And personally, Dan, I’ve gone with Zak on several calls to clients. And we’ve talked about the offer about the Digital Wallet being focused on VIPs, large-ticket instant, funding capability. And also we indemnify a lot of risk and loss for them. So we’re not only solving a customer issue. Frankly, we’re solving a huge headache that a lot of these operators have. So it’s really resonated well with them. So that’s one. Two, we are coming now with proof points, right? We’ve been piloting the product. We can show some smaller operators that we’re at 15% to 20% of the cash here. As VIPs or repeat users, they are betting more, they are betting in large amounts, more and more on that platform. So we actually have data and proof that we can show to the more of the Tier 1 operators. And of course, now we’re going to start marketing the product will be an exclusive partner, a payment partner with Barstool And that’s an incredibly engaging active, fast-growing consumer base, incredibly relevant to the industry. And so we’re excited to take the product to the next level, get some advertising. And then, of course, our focus is to get more Tier 1 operators signed up, and that’s a goal of the team for 2022.
Dan Perlin: That’s great. Thank you so much.
Operator: Thank you. Next question is coming from George Mihalos from Cowen. Your line is now live.
George Mihalos: Hey, guys. Let me add my congrats on the fourth quarter results. Nice to see that momentum. I guess, to kick things off first, if we can just look at the ‘22 guide that you reiterated. Phil and Izzy, you talked about several additional headwinds, FX obviously being one, some of geopolitical uncertainty, acquisition closing a little bit later than what you expected, yet you kept the guide there. So I’m curious what in the business feels better to you we’re were sort of outperforming or you think will outperform relative to those initial expectations? And maybe you could also size for us again, what you would expect inorganic contribution to be for ‘22 now?
Izzy Dawood: George, it’s Izzy. Great to hear from you. Let me hit the second one first, kind of knock out the way. We’re still, as we’ve mentioned last year, about $60 million in revenue and $20 million EBITDA, probably performing a little better, but that’s kind of where we think the inorganic contribution is. To your point, let’s just walk through the steps from last November’s call, right? We laid out the outlook back in November of the revenue growth and the $444 million and $60 million EBITDA. This is what we’re seeing. We’re seeing the momentum in U.S. acquiring retail, eCash, North America iGaming and Integrated eCommerce solutions, strong continued momentum as expected, we’re executing. The recovery in direct marketing, that’s coming through. And we’re starting to see the green shoots of stabilization and the transition of Digital Wallet. We’re not running victory laps yet, but we’re seeing the positive proof points around deposits coming into the consumer wallet. The headwinds, partly because of the geopolitical crisis that we’re seeing, the dollar strengthened meaningfully since last November, right? And then the other thing that has come up is that if there is further impact in Russia and Ukraine, we have an exposure on an annualized basis, about $20 million in revenue. But even with that being said, we feel there is enough amendment in the items I mentioned and our execution for us to stay within and confident with our guidance that we laid out in November.
George Mihalos: Okay. That’s great. And I appreciate that color on Russia and Ukraine because that was going to be the next question. Maybe just a quick follow-up on the regulatory side in Europe. You cited Germany, Netherlands. Are there any other countries, any other regions that might move in that direction as well, where there could be some regulatory risk relative to where we are now? And I’ll hop off. And again, congrats on the quarter, guys.
Philip McHugh: George, I’ll take that one on the regulatory piece. It’s great to hear from you. Look, we – in the third quarter, we talked about the impacts of European iGaming regulation, which was sizable. And the two big features were, one, obviously, Germany, they put limits on sports betting, on gambling limits as well as taxes on games. And that had some pretty big impacts and some bigger impacts than expected with the operators. And then two, Holland had a surprise decree that really impacted the ability for e-money institutions to operate in the space. And that was really – we continue to feel that was a misplaced, so basically a mistake that we hope can be reversed. To give you a sense, the combine impact of those two in the fourth quarter earnings, that was a $15 million year on year impact in the quarter alone. So it is sizable in the fourth quarter. Now we have all these impacts baked into our guidance. What we see first is we expect to start to lap the German impacts in the third quarter, right? We will start the baseline. That’s when we started to feel the impacts. And in Holland, we expect some sort of partial or full reversal of this regulation in the second half. We’re working with regulators with the industry on that piece. More broadly speaking, we don’t see any imminent pieces. There is some small ones, a country like Finland. We will probably have a ‘23 impact that will hurt us, but that’s not a major market. Other markets like the UK have a really good track record of being very proactive and self-regulating. So overall, we see Europe as kind of a tougher comp, but we’re working through that, working with our clients. We see lots of nice growth. Obviously, United States, Latin America, we’re seeing some nice pickup in growth there as well. But the two big ones, Germany and Holland, we have baked into our numbers, one will baseline, one will reverse. And the rest of the year, we’re not seeing any major impacts in the short to medium term.
George Mihalos: Great. I appreciate the color, Philip.
Philip McHugh: Thanks, George.
Operator: Thank you. Our next question today is coming from Darrin Peller from Wolfe Research. Your line is now live.
Darrin Peller: Hi, guys. Thanks. It’s good to see the momentum with a lot of the operators and some of the brands across the system. Philip, can you just touch on the consumer side for a minute? We obviously have been seeing the various headwinds to the growth numbers in terms of the user base, the consumer user base of Skrill and digital wallets. But I’m curious what can – where would you expect an inflection in that on a sequential basis perhaps? And what will be the driving force in terms of marketing to those consumers? If you can also expand on the finance relationship. I know it sounded like something you brought up a couple of times on the call in your prepared remarks. So just a little bit more detail on how that could play out and what that can really mean for you.
Philip McHugh: Yes. Thanks, Darrin, and great questions. So we obviously – you saw in our Q3 update, we had decreases in volumes and active customers. And we talked about some of the challenges, especially where we had to really rightsize our pricing, our user experience to be much more competitive. And what I’ve been really happy with is the team in digital wallets with Chirag, they have really done a great job of reorganizing, refocusing and frankly, rightsizing the business. And they are in two – we’ve got really two specific groups. One is focus on that core wallet, the customer user experience, the pricing, the flows of really working through that and improving it. And then a second group is really working on the bigger growth deals like Skrill U.S. like the Binance deal. So that’s how we’re operating. On the first piece, look, we took a lot of steps. We simplified lots of steps for sign-ons and approvals. We did make our pricing much more competitive, especially in mature markets like Europe. And in the presentation, I talked a little bit about that. So we saw bank deposits, Darrin, grow 50% on the changes between kind of September, October period to February. And that drove a net growth in deposits of plus 10%. These are consumer deposits in, right? So all form factors grew 10%, driven by being much more competitive on bank deposits. And that’s a net positive revenue impact. So what we’re seeing is consumers being more active in the wallet. We have also seen active customers baseline now, right. So it’s not dropped, it’s flattened. And we expect that to stay flat and then start to veer towards growth towards the second part of the year. So this is not a silver bullet. You don’t just do one action. It changes everything. This is a focused and disciplined piece. There is still a lot more to do. We’re still working on pricing in other markets. We’re working on simplifying the checkout with merchants, where we’re having great engaged conversations with merchants on the changes we’ve made with the team, with the pricing, with the user experience, so engaging the large merchants who start to promote Skrill more than they have in the past kind of year, 1.5 years. So those are the factors, Darrin. So we should see that baseline flatten and start to get to some more growth in the second part of the year. So that’s kind of my view on the inflection point. We’re staying prudent. We’ve got some nice positive proof points. We like it, but we’re not willing to say it solved and kind of shout from the rooftops yet. We’re going to be very disciplined on this and work those KPIs. The second way to drive customers is linked to Binance, right? So the Binance deal is a big deal for us for the following. One, more broadly, we see the kind of the convergence of Crypto and FTs, and kind of Web 3.0. I know there is some buzzy words but we actually do see, this as a mega trend. I think the use of virtual currencies, virtual commerce, unleashing millions of digital entrepreneurs, creating digital products will be a huge market, will change the way e-commerce works. And we think Paysafe is ideally suited for this. You’ve got to be global. You have to have multiple ways to pay. You have to have great risk and regulatory management to do this. So that’s how we see this. And we see the same kind of positive pieces we see in gaming apply to this kind of fast-emerging market. So that’s our overall mindset. And with Binance, look, they – we’ve got a single API, so we plug in. They can access all of our products. Initially, we’ve white-labeled our wallet. That’s a big change, right. So, we can go to market with the Skrill and Neteller brand, but we can also unleash the power of our wallet and white-label it for specific clients. So, we have white-labeled our wallet. And what that allows Binance to do as consumers, when they are using the Binance wallet, which is our platform, they can buy, they can store and they can use crypto in the wallet to buy on the Binance platform and to also take the proceeds from sale of crypto as well. Initially, we are using bank payments to fund the wallet, but we will be expanding both markets, and we will be expanding payment types, including card processing and other APMs over time. So, we see this relationship as building up to something into an important large relationship for Paysafe. We have been really impressed with the team. And we also – this is opening up a pipeline not only in the broader crypto space, but also the white-label wallet we are seeing interest in other industries beyond crypto as well. So, we have got a couple of cool angles, and that will drive accounts in, right. That will drive lots of consumer sign-ups. And so we are excited to see that start to happen in the next couple of quarters.
Darrin Peller: Okay. That’s really helpful. One quick one is on the merchant acquiring side, I mean I would just love to hear where you think you are in terms of differentiation and ability to maintain growth in that business. Obviously, there has been a big reopening out benefiting, but your volume does seem to be trending well versus the networks, for example, and when you look versus ‘19. And so if you could just touch on the assets you have versus the assets you need to stay competitive in what’s becoming just ever changing and competitive environment?
Philip McHugh: Yes. And you have seen how we were looking at the digital commerce, large enterprise clients, global, bringing all of our global APMs and risk management, and then you have the U.S. SMB business, right. And that’s all about scale, ease of use, speed and convenience and frankly, data and services to the merchant. So, quite separate platforms, and that’s how we see it. That’s why we are presenting it that way. So look, we are a very scaled U.S. SMB player. We have over 200,000 merchants. We are one of the top players. We are kind of top five or six in terms of size in the U.S. So, we have a lot of breadth and scale. The biggest thing that we have done, we have spent a lot of the last year working on the basics to be very, very effective. So, automation of underwriting and of servicing has skyrocketed for us. So, we have gone from being fairly manual to really an automated business. Two, we have a single application form that can get you back end processing across multiple processors in the U.S. And that is an advantage for ISOs and ISVs and agents. They see the benefit of that. And it also allows us to offer extremely wide menu of smart POS devices across multiple processors, specific gateways that work for SMBs or ISV integrations. So, we are able to deploy a really large menu. We are able to do it with a single application. We are able to do it with really, really strong automation and strong customer service. So, that’s our play right now, and that’s going to – that’s what’s driven nice growth. That will continue to drive the nice growth through this year. In terms of next kind of iterations of capital investment, it’s really about capturing more and more data so we can do kind of instant payments, same-day clearing. We can go into some wider services beyond just the payment processing. So, that’s how we see it. But for the next 12 months, it’s really focusing on the first part that I was talking about in terms of speed, automation and service.
Operator: Thank you. Our next question is coming from Jamie Friedman from Susquehanna. Your line is now live.
Jamie Friedman: Hi. Let me echo the congratulations. Excited for you guys. So, I want to ask about Slide 8 and your disclosure on the direct marketing recovery. I got my ruler out to look at these, the bar chart. But I am just trying to understand, is this – does this demonstrate sequential growth, because it does look positive in direct marketing, but I think you still said it was down. And I am wondering also about what you are contemplating for ‘22 as a whole for direct marketing?
Izzy Dawood: Hi Jamie, it’s Izzy. I will take that question, and thanks for your kind words. Yes, your ruler probably won’t help us. So, I will give you some perspective on it. 2021 was a challenging year for direct marketing. To put some numbers in context, we lost roughly $45 million in revenue and $35 million EBITDA year-on-year. We expect in 2022, based on the momentum we have seen, to recover about a third of it. And then from there, grow responsibly, working with our issuing banks, working with our merchants as well. So, hopefully, that puts things in context for that business.
Jamie Friedman: Yes. That’s a great answer. That’s what I was looking for. And then, Izzy, since I have you, in terms of your assumptions about the EBITDA, you are at $98 million, I think for the 1Q ‘22. It looks like though you would need to do a high-teens run rate ramp for the guidance for the year. So, maybe if you could just – I know you mentioned some of this already, but if you could just revisit your assumptions about the EBITDA sequencing for the year. Thank you.
Izzy Dawood: Yes. Jamie, actually, that’s a great question. So, we think about it this way. Clearly, first half of the year, we expect the year-on-year comps to be lower as we work primarily to digital wallets, the challenges. In the second half of the year, we see a couple of things. I will begin with three items. Binance is a part of it. We are slowly ramping up with them. We are being careful as we roll out new markets, new capabilities with our single API. And that really starts picking up steam starting in like late Q2 into Q3 and Q4. Now that’s one aspect. The second aspect that we see is we have a very strong pipeline across iGaming, travel and crypto outside of Binance. And that started to pick up the steam well, that adds to the double-digit run rate. And the third one is the M&A deals effectively. These are relatively high-growth platforms that we purchased, right. So, the run rate you see now, even in Q4, those start become additive and start growing as well as the year goes on. Those are probably three of the larger components that help drive to our second half improvement. And as I think you probably noticed, as we start seeing this momentum, if you look at Q1, you had slow movement progressing towards kind of the second half run rate for 2022.
Jamie Friedman: Got it. Thanks for the color.
Operator: Thank you. Your next question is coming from Josh Levin from Autonomous Research. Your line is now live.
Josh Levin: Hi. Hello. In one of your previous responses, Phil, you talked about an inflection point, positive proof points. But you said you were staying measured and you are not yet ready to shout it from the rooftops. So, I guess what are you concerned about, or what’s stopping you from shouting it from the rooftops? And then on the progress in digital wallet and the balance is growing, how much of that is price-driven versus non-price driven? Thank you.
Philip McHugh: Yes. I think, Josh, we went through a lot of this in the third quarter that we were very open about some of the fundamentals we had to fix. And what we are simply saying is it’s been a good quarter. We like the proof points. We have seen the changes in making it to sign-ups and funding easier and more price competitive on bank deposits. And those have had very, very positive impact so far. So, we like that, but there is still more to do. We still have impacts to fix on the merchant checkout. We want to continue to test some of the pricing in other markets. And we are working with our clients on a one-to-one basis to really get them to promote Skrill more as we have made these changes. So, we are being – it’s a positive reception. We have ICE coming up in April, which is a really, really big conference of all of our clients. And we are coming to them not only with the fixes that we have made in digital wallets, but also approach to the market as a single face with processing, with eCash, and with digital wallets together. And that combination drives flows. So, it takes time. It’s not just a single thing you turn on or off. That’s what we are saying. It’s a positive proof point. We are very positive, but we are also remaining prudent. We are aware of the miss the last year in Q3, and we are going to be very steady and improving our return there. So, that’s how we think about it. And in terms of pricing, we are basically – we are not under-pricing. We are at market competition with bank deposits, and we saw the demand and flow in. Net-net, it’s been a revenue positive piece. We see more funds come in. Consumers are active within our wallet that drives revenue. So, we like the direction here. We don’t see this as a price giveaway at all. It’s really about fixing and being more competitive, more aligned with our clients.
Izzy Dawood: And Josh, let me dig in a little deeper, right. I will give you some puts and takes as well, like, for example, KPIs, metrics to keep an eye on, net deposits into the wallet, those are trending in the right direction. Checkout at conversion – conversion at checkout, those are looking positive and improving. Gambling revenues growing up. Our active customers are stabilizing. But at the same time, crypto and FX trading have been soft so far this year. And the Russia-Ukraine crisis is putting potential revenue at risk as well. So, even though we feel really good about some of the core metrics and KPIs, we need to kind of see this come through in the revenue on a sustained basis before we start, to your point, shouting from the rooftops.
Josh Levin: Very helpful. Thank you.
Operator: Thank you. Next question today is coming from Jason Kupferberg from Bank of America. Your line is now live.
Jason Kupferberg: Thanks guys. Good morning. Just wanted to start with a question on the balance sheet. You talked about the 3.5x leverage target. What would be your base case in terms of when you think you can get there? And where do you think you will be by the end of this year? And as part of that, can you just remind us of the mix here of fixed versus variable rate debt? Thank you.
Izzy Dawood: Yes. Hey David. Thanks for the question. First, let me knock at the second one out. Fixed to variable is basically 50-50 is where we have, basically what’s public debt versus bank debt. So, that’s the second part of the question. First one, by the end of 2022, we expect our leverage ratio to be in the low-5s, again, depending on performance. But we will be in the low-5s by the end of 2022 and potentially get us down to 3.5, barring any, I would say, accelerated debt repayment or anything out of the ordinary, we would probably get that by, knock on wood, probably by 2024.
Jason Kupferberg: Okay. Understood. And can you just tell us what is built into this year’s guidance for North America iGaming?
Izzy Dawood: Yes. I will take that, and I am sure Phil will add in as well. Right now, North America iGaming is roughly 1.5% of our revenue. And our expectations for growth for that business in the near-term and mid-term is about 40%-plus revenue CAGR.
Philip McHugh: And higher volume CAGR as well.
Jason Kupferberg: Okay. Excellent.
Izzy Dawood: And let me kind of build on that as well, kind of what drives it, right. Obviously, there is growth in existing markets that we are in. So, we saw the takeaways that we just talked about. There is growth in new markets. And then probably the third piece is just the addition of Skrill becoming a bigger factor as part of the overall North America iGaming revenue and volume. So, those three factors give us the background and confidence in the 40% – plus CAGR in that business.
Jason Kupferberg: Okay. I appreciate it. Thank you, guys.
Operator: Thank you. Next question today is coming from David Togut from Evercore ISI. Your line is now live.
Spencer Kennedy: Hi guys. Thanks for taking my question. This is Spencer Kennedy on for David Togut. So, your logos include DraftKings, who is investing pretty heavily in customer acquisition this year. I think they are guiding to an EBITDA loss of $825 million to $925 million. So, some investors are actually interpreting this as a modest slowdown in iGaming activity moving past the pandemic and stimulus requiring higher promotional activity. How are you guys interpreting this?
Philip McHugh: Yes. No, we obviously track all those pieces, and DraftKings is a very old, great and deep partner. We have got great relationships there. Look, the – obviously, we do see the cost per consumer acquisition. The kind of CAC in that industry is very high and different players are changing their strategies. But overall, the growth fundamentals are incredibly strong. When we talk about plus-40% CAGR over the next 3 years for that business, we just have all the fundamentals. A, we are seeing the volume growth now. We are not seeing a change in that. The existing states we are in continue to show strong growth. Obviously, as I said, new markets opening up. New York has just opened up, and we have seen some nice pickup there. Ontario opens up in April. We will have signed quite a few Tier 1 operators in that market. And that represents the fourth largest market in North America. Arkansas, Maryland, most likely, potentially Ohio at the end of this year, it might go into early ‘23. And even California has a ballot, will most likely have something, a referendum sometime towards this end of the year relates to sports betting. So, we continue to see positive signs in the markets. Obviously, Florida was a huge one for us, for everybody. That’s been delayed due to legal issues and challenges there. So, that’s going to get pushed out probably to beyond – just beyond ‘23, we think. And then finally, like I said, we are adding a new revenue stream here as well. So, we are capturing the integration, Spencer, with all of these clients, and we are ready to enter in new markets. At the same time, we are also adding new products as we had our Digital Wallet and we add our eCash products, you are adding higher-margin vehicles on top of that. So, that’s what informs our outlook.
Spencer Kennedy: Okay. That’s super helpful. And then if I could just quickly follow-up. So, just thinking through crypto and your revenue exposure there, and then I think we have kind of seen Bitcoin volumes start to trail off a little bit year-to-date. So, any sort of impacts you are seeing right now? And then also, I don’t know if we might have missed it, but just the inorganic contribution to revenue in the fourth quarter. I think you gave for the full year, but I might have missed the fourth quarter there. Thanks a lot.
Philip McHugh: Yes, I can take the first part, and I will hand over to Izzy on the second part. So yes, across – within Paysafe, we will talk about kind of our crypto activity. So, there is really – I will break it out to three pieces, right. One, what we currently do. Two, what we are starting to do. Three, what we are going to be doing, okay. What we currently do today is two things. We are a card processor for several crypto exchanges. We like that pipeline. It’s growing. And then, two, we allow consumers to buy and sell crypto within our Skrill and Neteller wallets, right. So, we were about – I think about just under 40 currencies available in 90 markets. So, those two are existing revenue streams. They represent 1.5% of our total revenue, and they grew over 100% last year. So, that’s part one. We have seen the crypto trading in the wallet be subdued. Bitcoin pricing is down. The market is a little subdued. It’s a spiky market. So, that’s – I think, Izzy mentioned that as one of the reasons why we are a bit more cautious on the digital wallet Q1 outlook, just market performance right now. That doesn’t change our view at all on the broader outlook of where this is going. Two, with the deal, the Binance deal, this is the largest crypto exchange in the world. They have 30 million consumers. Consumers love the product. They are a huge share of the global market. We are their white-label wallet across most of Europe. We are slowly opening up markets. We will be adding more products and services, allowing our wallets and other APMs as well. So, this is a relationship that will grow, and we are repeating similar relationships with other exchanges. So, that’s going to create a second wave of revenue growth for us. And then third, more futuristically, we are looking at opportunities in decentralized finance. We are looking at NFT marketplaces. We are looking at how do we become more competitive in fee at on and off-ramps in this world, which is really deeper risk and regulatory capabilities. So, that’s more future pieces, but that’s where we are focused on investing. So, we see this business growing at extremely high rates potentially doubling again this year and beyond. So, that’s our view on crypto.
Izzy Dawood: Yes. I will just add to that as well, Spencer. The thing that Phil may not have mentioned is about the size of our North America iGaming business, right. So, about 1.5% of revenue and effectively doubling so far year-on-year. In terms of the M&A, the two deals that we did close in Q4, you can probably assume it contributes about somewhere between 2.5% to 3% of revenue and EBITDA. It’s probably a good modeling assumption.
Spencer Kennedy: Okay. Great. Very helpful guys. Thanks a lot. Good job.
Izzy Dawood: Alright. Thanks.
Operator: Thank you. Your next question is coming from Timothy Chiodo from Credit Suisse. Your line is now live.
Timothy Chiodo: Great. Thanks a lot. Good morning and thank you for taking the question. I think you guys did a really good job of covering this in a few of the prepared remarks and also during the Q&A on the the new U.S. acquiring specific segment. It does sound like that’s a very SMB-focused business. I know Clover sits there. You talked about the direct marketing piece. But it also has eComm. It has integrated payments through Clover. There was a card-present mix. There was a card-not-present mix. If you could just maybe give us the pie charts, if you will, just to bring to life what the mix of that business is, how much is direct, indirect, etcetera?
Izzy Dawood: Yes. Hey Tim, it’s Izzy. Let me take that. I think I will answer it this way. In the U.S. acquiring segment, about a third of our volume is card-not-present, meaning eCommerce. So, two-thirds is card-present is how you should think about that. And that includes all the elements you mentioned, like Clover, the indirect or direct marketing and the likes. And it’s 100% North America, in fact, or U.S. effectively.
Timothy Chiodo: Great. Thank you. Sorry about that. On that card-present piece, which you mentioned is about two-thirds or so. Should we think about that as also integrated into software platforms such as Clover, etcetera, or is that a non-integrated payments, can you just bring that to life a little bit?
Philip McHugh: Yes, I will take that one, Tim. So, the breakout, we go to market with a direct sales channel, ISO partners and ISV integrations. So, that’s part one. So, we have we have gateways, which could integrate. We have direct sales that can support the ISV growth there. So, that’s an area that we like and we will continue to see actually grow more. With the ISOs and the direct channels, we do sell a series of smart POS devices. Clover, is a big part of that sales. We really like the product. We work with one or two other ones as well. So, we do integrate into their point-of-sale device. The merchant gets all of the kind of Clover benefits. And then we are also that we are the back-end processor and service agent for that POS. So, we can offer the omnichannel online and in-store, in-store only or online only. We have the full – kind of full suite of products.
Timothy Chiodo: Excellent. Thank you for all that context. I appreciate both of you.
Operator: Thank you. We have reached the end of our question-and-answer session. I would like to turn the floor back over to management for any further or closing comments.
Philip McHugh: No, I will pick up. Look, first of all, I will reiterate something I said on my presentation. Just a huge thanks to my team personally. I know it’s been – Q3 was tough. We didn’t like where we landed there. But the team never lost its focus on what we are able to do with our clients where we can win. And we are really excited about that. We love what’s happening. We love what’s happening in the iGaming space. We love what’s happening in our ability to go to market as a single proposition. It’s a big change for Paysafe, right. Single team, single API, single underwriting, it’s just changing our culture and approach. And obviously, we are really excited about some of the big wins like Hard Rock, Bally’s and like Binance, which we think do start to embed future growth. We are absolutely aware there is still a lot of hard work to do in the details, and that’s going to take time and transparency to prove that we are turning it around. But we feel good about it. I look forward to continuing the conversation and questions with all of you. Thanks a lot. Bye.
Operator: Thank you. That does conclude today’s teleconference and webcast. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation today.